Operator: Good evening. This is the conference operator. Welcome, and thank you for joining the TF1's Full Year 2025 Results Conference Call and Webcast. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Rodolphe Belmer, Chief Executive Officer; and Mr. Pierre-Alain Gerard, Executive VP, Finance, Strategy and Procurement. Please go ahead, sir.
Rodolphe Belmer: Good evening, everyone, and thank you for joining us for our full year results presentation. As said, I'm Rodolphe Belmer, the CEO of the group; and along with Pierre-Alain Gerard, the CFO, we will present TF1 Group 2025 results. Let's start on Page 3 with the key highlights of the year. Starting with audience. In 2025, TF1 Group confirmed its leading position, both in terms of overall audience and among younger generations. TF1 Group made progress in all targets year-on-year with an audience share rising by 1 percentage point among women below 50 and by 0.4 percentage points among individuals aged 25 to 49. TF1 channel maintained its high audience share in the 4-plus target group, reaching 18.7%, stable year-on-year and up 0.1 points versus 2023. With a distinctive editorial stance on the latest international political and economic news, LCI has achieved an audience share of over 2% in the 4-plus target group since it moved to DTT channel #15 in June and records the strongest audience growth among news channels over the past year. TF1 Group's content achieved unparalleled scale, reaching 60 million monthly viewers, equivalent to 94% of the French population, a unique position in the media landscape. Focusing on the individuals aged 15 to 34, our content was watched by 15 million people per month, 15 million of this age representing 97% of this age group. In digital, TF1+ attracted 38 million streamers per month on average in 2025 and 42 million streamers, users in October 2025, our new record. Financial performance now, the group consolidated revenue amounted to EUR 2.3 billion in 2025, almost stable like-for-like and at constant currency. This amount includes an advertising revenue of EUR 1.6 billion, a 4% decrease year-on-year, reflecting the structural linear market decline exacerbated by an unstable environment throughout the year, in particular in the fourth quarter due to France's political and fiscal situation. Despite these headwinds, TF1+ maintained a strong growth momentum for the second year in a row. Its advertising revenue rose by nearly 40% year-on-year to close to EUR 200 million, largely outperforming should I say, the digital advertising market. Our Studio business recorded good momentum with a 9% growth. Margin from activities stood at 11%, in line with our revised target. Finally, the group reinforced its financial position with net cash of EUR 515 million at end December, up EUR 9 million year-on-year. Overall, I would say that in a complex environment, the group achieved its revised 2025 targets, demonstrating the success of its strategy as well as its resilience. Now let's go to more details. We'll first give you an update on our business segment, then we'll provide additional information on our financial results, and then we will update you on our strategy and the outlook for the next year. And we'll close, as usual, with the Q&A session. Starting with a quick update on our linear streaming and studio business lines. I'm starting on Page 6 with a quick reminder of why television and of course, TF1 in particular, offers a unique value proposition in the media landscape, unique and distinctive. Reach remains our core competitive advantage, underpinning the unmatched value we deliver to the advertisers and viewers alike. In 2025, TV overall reach stood at 77% daily, while TF1 Group maintained an unrivaled position, covering 53% of French people every day, well above any other media business such as YouTube, SVOD services and TikTok. On the right-hand side of the slide, you will see that beyond reach, TF1 also delivers a superior return on investment for advertisers. On the French TV market, TF1 delivers industry-leading ROI for advertisers with every euro spent on our channel, generating EUR 6.3 in incremental sales, a figure that rises to EUR 6.6 during prime time, outperforming all TV competitors. The return for our DTT channels is also at EUR 6.6, which is also above, of course, any other TV player, underpinning the strong resilience and pricing power of the group in the French market. It's worth noting that within the French broader video advertising market, TF1 currently delivers a similar ROI versus online video platforms, demonstrating the group's competitiveness and strategic positioning to drive incremental market share gains. Turning to Page 7 now. In terms of audience share, the group maintained its leadership across commercial targets and the TF1 channel retained a significant lead over its main competitor by almost 10 points among women below 50 with an audience share of 23% and ahead by 8 points among individuals aged 25 to 49 with an audience share of 20%. The TF1 channel recorded the best ratings in most genres like French drama, entertainment and movies. The group's news, which plays an essential role in the democratic debate in France, continued to strengthen its position with 99 out of the 100 best news ratings of the year. Our news programs moved further ahead of their competitor, and our morning show, Bonjour !, became the second most popular in that category. LCI, our news channel, recorded the fastest audience growth in the year for news channels since the DTT renumbering. Let's move to streaming, Page 8. Our strategy is to leverage the group's solid content lineup to address both linear and nonlinear exploitations. 20% of total viewing today of the group comes from nonlinear consumption among individuals aged 25 to 49 for TF1. This share is even higher on our strong franchises, reaching, for example, more than 80% for the reality TV genre and close to 50% for our daily soaps like Plus Belle La Vie. In just 2 years since launch, TF1+ has established itself as the leading free streaming platform for French-speaking audiences, driving growth across all key metrics from brand awareness to monetization. In terms of brand awareness, TF1+ reached a level of 81%, a 3-point increase over last year. The application had first visibility across 69% of households with connected TV devices, up from 68% at end 2024. Regarding consumption, TF1+ offers more than 35,000 hours of programs available at any time, including aggregated third-party content. On average, the platform attracted 38 million streamers per month in 2025 compared to 33 million in 2024. This number increased quarter after quarter in 2025, reaching 41.5 million streamers on average in Q4. Streamers visited the platform 4.7 times per month on average in 2025, up 3% over the year before. As a result, 1.2 billion hours of content were watched on TF1+ in 2025, almost 25% ahead of France's second largest platform. Based on site-centric figures, consumption rose by 12% year-on-year. Ad pressure reached 5 minutes and 14 seconds per hour on average, up 15% from 2024 with a target of around 6 minutes on the midterm. And finally, CPM stood at EUR 13.5 on average, broadly stable compared to 2024 with a target of around EUR 15 in the midterm. The strong performance translated into a 36% year-on-year increase in advertising revenues with TF1+ almost reaching the EUR 200 million milestone, a proof of its growing appeal among advertisers. After launching TF1+ in January 2024 and having positioned it in the advertising market as the premium alternative to YouTube, the group has entered in 2025, the second phase of its strategic plan. The first element of this second phase is the new form of monetization on TF1+, a new form of monetization that involves micro payments. This initiative is inspired by the model by the mobile gaming industry where it has proven largely successful. Since last September, streamers visiting TF1+ have had access in return for a small payment to new features like previews of our programs or ad-free content as well as an exclusive live channel, for instance, of our show, Star Academy. These offers have been adopted fast by TF1 streamers with 700,000 transactions recorded between September and December. And these initial figures are very promising because the micro payment offers have been deployed only in a small perimeter of devices since most telcos have not been deployed yet. On the TF1+ application, an environment where the offer is fully deployed, streamers who have converted to this offer have made on average 3 transactions per month between September and December. Note that the TV screen only represented 15% of micro payments transactions since launch, showing that there is room for progress once the offer is fully deployed, notably across telcos. And we're confident this initiative will unlock a significant revenue stream in the medium term. Page 10, update on Studio TF1. Studio revenue totaled EUR 376 million in 2025, up 9% year-on-year. This good performance was notably due to the contribution of JPG acquired during the summer of 2024. The soap Tout Pour La Lumière, All for Light in English, broadcast on TF1 and Netflix, the production of the Flemish version of Dancing with the Stars, the deliveries to streaming platforms of premium series like Merteuil for HBO Max and the successful theatrical releases of key movies like Chasse Gardée 2, Game Reserve 2 ranked #5 in terms of ticket -- of admissions in the French market in 2025. Now turning to the financial performance with Mr. Pierre-Alain Gerard.
Pierre-Alain Gerard: Thank you, Rodolphe. Good evening, everyone. Let's move now to a more detailed breakdown of our financial results for the full year 2025. You will find additional information in our consolidated financial statements and their notes as well as our management report, all of which are available on our website. First, a word on revenue on Page 12. The TF1 Group's consolidated revenue amounted to EUR 2.3 billion in 2025, down 2.5% year-on-year, but almost unchanged like-for-like and at constant FX. The small gap we have with the consensus mostly relates to perimeter effects. Revenue in the Media segment totaled EUR 1.9 billion in 2025, down 2% like-for-like. In linear advertising, the structural market decline was exacerbated by an unstable environment throughout the year, in particular, in the fourth quarter due to France's political and fiscal situation. However, that decline was partly offset by an increase in the group's market share, showing the commercial relevance of the ad sales house offering. Despite these headwinds, TF1+ continued to demonstrate its appeal for advertisers. For the second consecutive year, its advertising revenue rose by almost 40%, reaching about EUR 200 million in 2025. Again, note that we are only talking about ad revenue for TF1+ here. When taking into account advertising revenue from TF1 Info and addressable TV, along with revenue from subscription, TF1+ Premium and micro payments, our total revenue amounted to EUR 249 million in 2025, our total digital revenue. This KPI encompasses the various levers activated by the group to boost our advertising and non-advertising revenue. We will keep disclosing it in our future quarterly publications. Non-advertising media revenue amounted to EUR 347 million, down 6%. After rising in the first 9 months of the year with good performance by interactivity as well as music and live shows, the decline in revenue at the end of the year resulted mainly from the deconsolidation of Play Two and My Little Paris. Please note that those activities generated slightly more than EUR 40 million in revenue in 2025, which will, therefore, not be included in our 2026 revenue. Studio TF1's revenue totaled EUR 376 million in 2025, up 9% year-on-year. It included a EUR 44 million contribution from JPG as opposed to EUR 24 million last year. Like-for-like, revenue rose by 6.5%, notably thanks to the premium deliveries that we mentioned earlier. Now turning to profitability on Page 13. TF1 Group's COPA amounted to EUR 252 million in 2025, in line with the company compiled consensus. The impact of lower advertising revenue compared to last year was mitigated by the strict cost control and active portfolio management, which allowed the group to preserve resources that are crucial to the second phase of its strategic acceleration. Margin from activities stood at 11%, corresponding to the midpoint of the revised target range provided during our Q3 2025 results. Coming back to our value creation through our active portfolio management. The group materialized EUR 38 million of capital gains in 2025 from the disposals of My Little Paris and Play Two during the summer, along with the closing of a partnership with Sony Music Publishing regarding music assets in Q4. Excluding items, but factoring our digital reinvestments, margin from activities would stand around 9%. The Media segment reported COPA of EUR 212 million. This represents a year-on-year decrease of EUR 47 million, mainly resulting from the decline in advertising revenue. Studio TF1 generated COPA of EUR 40 million and a margin of 10.7%, broadly stable compared to last year. Regarding the income statement on Page 14, I have already commented on consolidated revenue and COPA. Looking further down, operating profit totaled EUR 233 million. That figure includes EUR 10 million in PPA charges related to the JPG acquisition and EUR 9 million in nonrecurring expenses mainly related to the group's digital acceleration plan. Net profit attributable to the group, excluding exceptional tax surcharge, was EUR 168 million, down EUR 38 million, mainly reflecting COPA decrease. Compared with 2024, net profit was also affected by reduced income from the group's cash position due to lower market interest rates and a reduction in the group's share of associates, mostly due to the impairment of a small investment at Studio TF1. The impact of the exceptional tax surcharge in 2025 was minus EUR 15 million. This mechanism has been maintained in 2026 in France, but the impact for TF1 should be lower in the mid- to high single-digit range. Moving on to the net cash position. At end December 2025, the TF1 Group had a solid financial position with net cash of EUR 515 million. Our solid balance sheet is an asset to navigate our complex environment and keep rolling out our digital road map. The EUR 9 million increase compared with 2024 mainly reflects free cash flow after working cap of EUR 102 million, dividends of EUR 127 million paid by TF1 in April and an impact from disposals of around EUR 20 million. Looking at free cash flow before working cap, it stood at EUR 85 million, which is EUR 144 million below 2024 level, mainly explained by the following: a EUR 71 million decrease of net cash flow, mainly related to the linear decline of the exceptional and the exceptional tax surcharge in France, a EUR 70 million increase of net CapEx with three drivers. First, a base effect related to the disposal of the Ushuaïa brand in 2024 for roughly EUR 30 million, EUR 27 million exactly. The delivery schedule, which was expected for co-productions in 2025 at our Media segment and a more sustained level of production activity at Studio TF1. Here, I remind you that production costs are capitalized. So this is future activity. On Page 16, let me wrap up the key takeaways of 2025 from a financial standpoint. In a very uncertain and unstable environment, the group successfully tackled advertising market headwinds, thus mitigating the impact on COPA. First, we managed to gain market shares across the board in a more challenging market than expected, underlying the competitiveness of our ad sales house. Digital grew by 36%, significantly ahead of the market, while our linear revenue was down by a high single-digit percentage, still outperforming the linear market estimated to be down by low double-digit percentage. Second, we kept a tight control on costs as illustrated by the EUR 19 million decrease in programming costs. And on the other hand, we preserve resources required to fuel the second phase of our strategy. Lastly, we actively manage our portfolio, both on Media and on Studio, as illustrated by the disposal of My Little Paris, Play Two and the partnership we signed with Sony Music Publishing regarding music assets and by the successful integration of JPG. Let's now turn to Page 17. In line with our distribution policy targeting a growing dividend, the Board will propose at the next general meeting a dividend of EUR 0.63 per share, up 5% from 2024 and 40% up from 2021. This dividend offers an attractive yield of 8%. I now leave the floor to Rodolphe to provide an update on our strategy and outlook.
Rodolphe Belmer: Let's move to Slide 19 on our strategy. The first pillar of our strategy is to consolidate our linear market share in a declining advertising market. First volume, the reach of television and the reach of TF1 in particular, is a differentiating factor for brands or customers. A premium content offering is instrumental in an increasing fragmented media environment as it generates the best advertising inventories on commercial targets for our customers. To maintain this advantage, we secured the most powerful programs, including the most iconic unscripted franchises such as Dancing with the Stars, Koh-Lanta, The Voice, Mask Singer, also premium French drama with a very solid lineup with the much awaited Cat’s Eyes Season 2 or the historical drama L’été [ 36 ], Summer 36. The flagship -- with flagship also sports events of 2026 with the majority of the six nations matches, it's Rugby, and the new competition in Rugby called the Nation's Championship. In football, French Ligue played by the French national team as well as the Nation's League matches of this year and the Women's World Cup in basketball. Second lever that we activate to consolidate our market share, of course, is the implementation of a distinctive commercial and pricing strategy. After changing the length of its advertising pricing units in 2025, the group has overhauled its linear advertising offering, featuring a new segmentation that is more suited to market expectation and that enables us to fully extract the value from the unrivaled quality and unique depth of our advertising inventories. What does it mean it means that we now offer, on the one hand, the highly powerful and premium screens of TF1, which have a unique value in the market through what we call the Peak offering. And on the other hand, another product that we call Reach, which offers the rest of our multichannel inventory, representing 1/3 of the total market inventory. This new segmentation, Reach and Peak strengthens the group positioning on the market as the most relevant partner for advertisers as it covers all their marketing and business needs and underpins our objective of growth in market share of the advertising market. The second pillar of our strategy is to increase our nonlinear revenue by gaining market share in the fast-growing digital video advertising market. To that end, we intend to further increase the digital consumption of our programs, notably through two levers. First, we will extend our reach, thanks to groundbreaking distribution deals. Starting in June 2026, our linear channels as well as the vast majority of our on-demand content will be made available on Netflix. This unprecedented alliance will unlock additional audiences for TF1 as a significant portion of Netflix subscribers, around 12 million in France according to various sources, consider Netflix as their primary source of TV entertainment and are low consumers of television content. Second, we will continue to offer attractive content, notably through our aggregation strategy. TF1+ already offers more than 35,000 hours of programs available at any time, including aggregated third-party content. More partnerships will be announced in 2026, further enhancing TF1+ catalog with content that complement those already available on the platform. This aggregation strategy reinforces the platform's appeal with limited impact on the group's programming cost as it is based mostly on a revenue sharing model. Then we intend to improve monetization as illustrated by two strong initiatives. The first one, as previously mentioned, we are developing a new form of monetization, which is not advertising based through micro payments. In 2026, the group will expand its catalog of eligible content and strengthen the editorialization around these offerings to maximize their visibility. The rollout of micro payments across all four telecom operator set-top boxes will continue and will include integrated payment solutions in-app payments to make purchase easier. Once our offer is fully deployed, we believe that there is a significant revenue potential as the penetration rate on the TF1+ mobile app is currently 3x higher than in other environments. Second, we will continue to address advertisers' needs across the entire marketing funnel from brand awareness to conversion with the development of innovative and distinctive advertising formats. Advertisers are adopting more sophisticated marketing strategies aimed at creating brand interactions through the consumer lifetime value. While most platforms on the market only offer pre-rolls or mid-rolls, we have offered innovative advertising formats starting in 2025 like Cover+ or Ad Pause to increase awareness and brand values. In 2026, we will launch new formats on connected TVs in order to stimulate consumer purchases like Send to Phone redirections or Carousel Retail Ads. Another pillar of our strategy will be to enhance our media buying effectiveness on both linear and digital. To that end, we have launched what we call TF1 Ad Manager in January, a transactional and service-oriented platform, which offers a fully simplified and competitive experience to agencies and advertisers, meeting the standards of pure players. TF1 Ad Manager will make it much easier for our customers to do their media buying and oversee their advertising campaigns effectiveness. The platform makes use of AI and machine learning at each stage of the process from audience simulation to content creation and key metrics reporting. It will be possible to set up a campaign in just a few minutes instead of several hours or days until now. This initiative has been very well received, of course, by our customers and the big 5 agencies are already on board and setting up campaigns. This platform, even more importantly, also aims at addressing a new segment of the advertising market that we call the mid-tail segment. This market, which comprises small and medium enterprises as well as commercial retail networks is estimated to represent around EUR 2 billion in France in terms of video advertising, which is quite significant. Starting in April 2026, our dedicated mid-tail solution will enable small and medium enterprises, small and medium customers to buy and easily create geo-targeted advertising inventories, starting with low price points like EUR 1,000 and therefore, making television accessible to all and to smaller customer, television and streaming space. The penetration of this market segment will grow our advertising revenue while diversifying our customer portfolio towards smaller businesses, which are evolving in different business cycles than our historical multinational customers. This initiative will be driven by a small dedicated team, therefore, limiting the impact on the group's fixed cost base and will rely on an outsourced sales team providing nationwide coverage. Studio TF1, Page 22. Our 2026 priorities will be to secure the business in France with long-standing partners and notably with the ongoing production of the three daily shows for TF1 and of the Magazine de La Santé for France Television. We will also keep expanding the customer mix via collaborations with the streaming platforms as illustrated by the future delivery of Day 1 to Prime Video and with the expansion of our film production and distribution, cinema production and distribution, notably with the launch of the new film distribution division with four releases already scheduled, including Jean Moulin, the biopic of Jean Moulin, starring Gilles Lellouche. This is a key milestone for the group, allowing Studio TF1 to support productions from development to theatrical release. Activity will be, again, skewed towards the second half of the year, notably due to Studio TF1 America delivery schedule. Page 23. Capitalizing on our strategy. Our new digital initiatives and our solid financial position, we reiterate the following targets: Number one, achieve a strong double-digit revenue growth in digital in 2026. Note that we refer to the new digital revenue KPI here. Second, aim for a growing dividend policy in the coming years. In 2026, we anticipate a continued strong pressure on the linear advertising market amid rapidly shifting consumer habits and macroeconomic uncertainty. During this digital transition phase, we intend to maintain in 2026 a mid- to high single-digit margin from activities before capital gains, subject to the evolution of the linear market. Still, we are well positioned to navigate these challenges through our digital acceleration, cost discipline and a solid balance sheet. That's all for us, and we are ready to take your questions.
Operator: [Operator Instructions] The first question comes from Christophe Cherblanc of Bernstein.
Christophe Cherblanc: The first one was on advertising. Given the exit rate of 2025, do you think it's fair to expect at least a double-digit decline in ad revenues in Q1? And I know Q2 is far away, but what do you expect the World Cup impact to be, i.e., would you expect advertisers to save money for the event or to spend before or after? That would be the first question. The second question is on programming costs. Programming costs were below expectation, I believe, at EUR 967 million. Is it fair to expect that as a starting point for the '26 budget? And the last one was on the disposal or the capital gain. The Sony publishing gain in music, is it a cash impact? And was it recognized in media or in content?
Rodolphe Belmer: Thank you for the set of questions. I'll answer the first two questions and maybe Pierre-Alain will answer the third one. On the advertising outlook for 2026. Well, as you know, we don't guide on this metric, but I can give you some color of what we think for the outlook of this and the perspective. What we can say is that the linear advertising market is under pressure due to different factors like the erosion -- like the migration of the audience from linear to digital, which reduces watching time and which in turn has an effect on the advertising inventories that we do produce and that we can sell to our customers. You said that we ended the year -- the 2025 year with a decline in linear at a double-digit pace, true, but we think that this decline -- this market decline in the Q4 of 2025 was the outcome of two elements. First element, the secular slowdown of the linear advertising market; and second, the conjunctural consequence of the political unrest in our country. Which means that with the political instability being now, I would say, absorbed by our customers, if I may say so. The only remaining effect -- negative effect headwind that we see in 2026 is the evolution of the consumer behavior, which means that we anticipate at a market level, an evolution which is more acceptable than double digit, better than double digit, meaning, it will be in decline, but single digit, mid- to high single digit, we could say. But I mean linear. What we typically do, as you have noted, we typically perform a bit better than market. And we're able to gain market share because our ratings are solid and our commercial strategy delivers well. It has been the case in 2025 since we gained around 2 percentage points of market share in the linear advertising market. 2026, we anticipate a market share which will be more stable. Why? Because, as you said, our competitor will have the World Cup in the summer, which is not a good moment for advertising revenues, as you know. But still, it means that we anticipate a stable market share in the linear market for us. In digital, the market is well oriented, around, well, double digit, low double digit, 10% to 15% growth annually, and we do far better than the market because our digital strategy works very well. We post figures for '25 in growth by 36% year-on-year after almost 40% the year before. And we will continue to have -- to post very solid double-digit growth in 2026 on the back of the very strong adoption of TF1+ among French users and also advertisers. Programming cost, we had programming cost of around EUR 970 million in '25, as you said. And you can assume that our programming cost base will be more or less similar in 2026. Our objective during the transition phase that we are having, our objective is to fight in linear to limit and to stabilize the erosion in linear as much as we can, grow as much as we can in digital, and we did very well, while being able to maintain our programming cost.
Pierre-Alain Gerard: And maybe let me answer your question on the deal we struck with Sony Music Publishing. Basically, we had a library of around 9,000 titles, musical titles in-house that have been built in-house within TF1. And we sold a majority stake to Sony Music Publishing, which will boost the distribution of these titles internationally. So Sony took control of this company, TF1 keeping 49%. So the cash impact of this transaction is only limited to the 51% we sold and is a low double-digit figure.
Operator: The next question comes from Conor O'Shea with Kepler Cheuvreux.
Conor O'Shea: A few questions from my side as well. Just -- sorry to come back on the advertising outlook for '26 as it stands today. I mean, from your comments, Rodolphe, can we conclude that if the linear is down mid- to high single, so let's say, 7% or 8%, and the digital is up, let's say, 20%, that we could be down overall by 3% to 4%? Or is that too optimistic at this stage? That's the first question. Second question, I think there was quite a step-up in CapEx in 2025 and as a percentage of revenues as well. Is that a permanent step-up? Or could we expect an easing in '26 and the future years? And then just last question. You gave some interesting data points on the micro payments in the fourth quarter. Can we have a sense of what you expect for '26 and just have an idea of the kind of drop-through of units of revenue to margins in micro payments? Is it pure margin business? Or are there some costs associated with that?
Rodolphe Belmer: Well, thank you, Conor. On the advertising outlook for '26, well, we have described, I think, quite explicitly what we think will be the outlook for the linear market and how we will perform in terms of market share. And I think we have understood well what's our view of the perspective in that segment. Digital, this year, we have gained -- we have grown by 36%, the year before, 40%. And we said we will maintain a very solid double-digit growth in '26. We're not going to guide specifically on that notion, on that element. But we expect we continue to deliver a very solid growth far ahead of the average market growth in digital. And we expect the market growth in digital as everybody, there is a consensus on that perspective. Well, we estimate that the market will grow again in digital video in 2026 by around 15%. We have the growth of TF1 which we think will continue to establish itself well among the French population. And we have quite a headroom to continue to grow in TF1+. There is the growth of consumption, which will continue, number of hours that we will continue to -- hours viewed that will continue to produce. As we said, we will also be able to grow substantially the penetration of TF1+, hence, the number of hours viewed with the distribution on Netflix that you should consider. Another element, we are still not where we want to be in terms of advertising load. We have produced around 5 minutes per hour of advertising load in 2025. And as we said, we want to reach 6 minutes in 2026. And there is the CPMs. We produced CPMs of EUR 13.5 per mille in 5, and we want to grow that number steadily to reach EUR 15 in the midterm, not in '26, but after. But it means that if you combine all that, the leeway for solid growth is very solid, plus we have two initiatives beyond the expansion of Netflix, which will foster the growth rate of TF1+. That's the micro payment, and I'm going to explain more on that in a minute. And there is the initiative which is very important in the mid-tail segment. We have invested significant efforts to develop a very solid technological platform to enable the purchase of advertising inventories by small and medium customers sitting in the provinces of France, retail networks or leisure parks or all those kinds of categories, which are in search of geo-targeted advertising. And now we have a solution for them. And it's a big market, more than EUR 2 billion, which means -- which is comparable to the size of the television market of today. And with all that, we think we have growth avenues, which are very solid to feed the growth rate of digital at a very solid double digit in the coming years.
Pierre-Alain Gerard: Maybe I can follow up on CapEx, Conor, because I think Rodolphe has answered your first and your third question.
Rodolphe Belmer: No, I'm not completely. I want us to deliver on micro payment.
Pierre-Alain Gerard: So just a quick word on CapEx. So you see that there is an increase in EUR 70 million in CapEx compared to last year. Bear in mind that last year, we sold Ushuaïa, which came as a disposal for around, let's simplify EUR 30 million. So you only have to explain EUR 40 million increase. And this is on one side related to the coproduction delivery on the media side, which will bring revenue in the future. And also on the -- as you know, on the Studio TF1 side, we capitalize the cost. So basically, what you see in CapEx is future revenue. So it's good cholesterol somehow.
Rodolphe Belmer: Micro payment, I wanted to tell more -- I promised some more words on this initiative that we are taking. Well, that's the very beginning of it since we launched in September, while deploying progressively this new service, this new feature across all the devices that we serve with TF1+. And we can say that while the initial results were quite positive and encouraging. In terms of -- well, what we said in the presentation, I don't know if it was clear, but in the universes among the devices in which the solution is deployed correctly, we had a usage, which is very interesting with a penetration of between 1% and 2% of the number of users, which have used the service. And remember that the number of people visiting TF1+ each month is very large. It's 40 million. And those people, we said that, that used -- that tried -- between 1% and 2% of the total population that tried the service, they made 3 purchases per month. It's quite big. And if you apply that to the total portfolio of users of TF1+, you have a sense of what's the magnitude of the business potential behind that initiative, which is not huge, but substantial. Now in terms of margin of the service, you can assume an order of magnitude of 50% because we have to share revenues with third parties, with our partners.
Conor O'Shea: Makes sense. And can I ask just a quick follow-up question on the margins generally? I mean, if the calculations are accurate in terms of the potential advertising decline overall, including the growth on digital after all the valid points that you made, that might suggest a decline that's not that different from '25 versus '24. In that context, your margins fell by 160 basis points. If you're now guiding towards more or less flat programming costs and potentially, let's say, I know you're not specifically guiding, but maybe a similar decline in advertising revenues, why would the margins fall to mid- to high single digit. I mean that's a much steeper fall. Are there substantially more variable costs in there relating to the TF1+ or other costs that we're not taking into account? Or are you just being very conservative at this stage of the year?
Rodolphe Belmer: Well, I would say a bit of both, if I may say so. What you may have in mind is that, well, of course, we are posting a margin of 11% for year 2025, for the year 2025. But on this margin of 11%, we have capital gains, which represent around a bit less than EUR 40 million. If you exclude those capital gains, we have made a margin in 2025 of 9%. And that's why when we say we estimate, we guide that our margin in 2026 will be stable in the corridor, mid- to high single digit. That's because we estimate that we will stay in the same kind of order of magnitude as what we did in 2025, more or less.
Pierre-Alain Gerard: I think the reasoning would -- yes, yes. I think you didn't have the right starting point.
Conor O'Shea: No, makes sense. But then...
Rodolphe Belmer: I said point is not 11%, it's 9%.
Conor O'Shea: 9%. But the underlying change could be something similar if we get a similar top line.
Rodolphe Belmer: Well, that's something that could be said, yes.
Conor O'Shea: Could be said, okay. Makes sense.
Rodolphe Belmer: And what we must say is that, well, we don't mean -- we don't intend to mean that we are not going to try to generate capital gains in 2026 because we have a sort of reverse bolt-on strategy, which works quite well, and we intend to continue likewise. But we don't want to guide on that because, of course, there are -- that's not within -- totally within our hands. We have counterparts to convince each time, and we don't want to take objectives on that kind of commitments. And that's why we want to guide only on the margin from activities without the capital gains, and that's why we express it likewise this year.
Pierre-Alain Gerard: And just to follow up on that, Conor, because I know you asked the question previously. We only do this kind of sale when there is an important gap in terms of valuation between the trading multiples of this kind of assets in the market and what we can achieve when there is a gap of several turns, we find that attractive and we create value and then we sell.
Operator: The next question comes from Eric Ravary of CIC.
Eric Ravary: First one on Studio TF1. Could you give us an idea of the kind of growth that you're expecting for 2026 with the lineup that you presented? And also, could you tell us the exposure to France Television and the planned cost cutting in content from France TV? Second question is on TF1+. CPM was stable at EUR 13.5 in '25. So could we have a comment on the reason why it was stable last year? And third question is on the disposals of My Little Paris and Play Two. What was the impact on COPA on Q4, please?
Rodolphe Belmer: Sorry, I missed your second question, sorry, for asking you to...
Eric Ravary: Yes. CPM on TF1. It was stable last year. So could you explain that, please?
Rodolphe Belmer: Yes. On the outlook for Studio TF1, what we can say without being too precise at this stage because we don't want to guide on this metric, but we will continue to grow softly in 2026 as we did in 2025. Of course, there is the uncertainty of the evolution of one of our key customers, which is France Television. But what we understand from the very close relationship that we have with them is that most probably the revenue stream that we get from France Television and the orders that we take from them should stay solid in 2026 because they like the franchises that we make for them. On the CPM, yes, it was stable in 2025. Well, it's a combination of different factors, but we have tried to continue to focus on the growth of TF1+ in 2025. But we think we can continue to progressively grow the CPM in the next few years and to reach around 15% with the development and the sophistication of the data and the digitization we are able to deliver to our customers.
Pierre-Alain Gerard: Then, Eric, you were asking about the perimeter effect and the consequences of the disposals from My Little Paris, Play Two and -- which is mostly the perimeter effect. We said during the presentation that it's slightly above EUR 40 million that won't be to take into account in 2026.
Eric Ravary: EUR 40 million in revenues?
Pierre-Alain Gerard: Yes, in revenue for the full year.
Eric Ravary: In COPA?
Pierre-Alain Gerard: Nothing since we disposed during the summer.
Eric Ravary: Yes. But I mean compared with 2024, what was the impact on the...
Pierre-Alain Gerard: Yes, the COPA contribution of these two was breakeven plus. So not a big impact on COPA.
Operator: The next question is from Jérôme Bodin with ODDO BHF.
Jérôme Bodin: Just a quick question on the -- if you can come back on the Q4 advertising trend because you mentioned two factors for this decline. So first, the economic situation, which is true, but it's not a total disaster. And according to other media, there is not a big slowdown in the French market. So I can understand that point. And then you mentioned a strong migration from TV to digital. But the same, there is no big acceleration of the decline of linear TV versus digital. So why according to you, there is such a drop in October and November in the TV market? Is it something very short term with a temptation of clients to move from TV to digital short term, and then we should get a normalization in 2026. So just to try to understand why such pressure, which is very unusual if we look back to your historical number.
Rodolphe Belmer: Well, our analysis of this question, of course, and we have spent a lot of time to analyze those elements and to make up our mind on what's the drivers of the break in the trend of the advertising market in France in 2026. What we said is that there is a secular element, which is not specific to October and November, of course, it's constant. That's what I mean by secular. It's the progressive erosion of linear watching migrating to digital. And this -- well, the watching time of the commercial targets is in recess in the order of 10% year-on-year. That's an underpinning factor of decline. Of course, it's compensated by price increase, but slightly price increase of the GRPs. That consideration number one. The recess in the French market in Q4 was much worse than that, which is unexpected. And with one explanation only, which is the political unrest in the country. And we have seen a very brutal slowdown in the market trend at the end of September when the Prime Minister stepped down again. Which has sort of frozen the investment of our customers for some time at the end of the year, which -- because well this kind of events or accidents at this time of the calendar year for our customers is not good because, of course, it does freeze their willingness to invest. And that's exactly what happened. Now what we think is that the secular trend will continue affecting and being a headwind to the linear market. And we have quoted figures which are -- and I think Conor has made a summary of that, which was quite accurate in our view. And there is the element of uncertainty among the advertisers driven by the political context, which will progressively vanish. And that's why we think that '26 will be better in the linear segment than the Q4 of 2025. And another point I would like to make, I commented on market figures, not our figures because we have sustainably constantly made better, delivered better than the average market. In the last quarter of the year, well, we did 5 percentage points better according to our estimates than the average market.
Jérôme Bodin: Maybe just to follow up quickly. So you don't think that this is linked to a change in terms of commercial policy from clients, a short-term change or from advertising agencies that may have put pressure on the -- specifically on the French market at the end of the year. It's much more structural according to you.
Rodolphe Belmer: Yes, it's much more structural. And the reason -- it's not specific to French market. When you look to in our neighborhood, the adjacent markets like the U.K. or Germany, the trends are more or less similar. Of course, the trend was marked especially with the political situation in France in Q4. But if you take a broader view and if you look at annual trends, it's very similar across European countries, if you accept Italy for -- because digitization is a bit lower in this country, but it's similar everywhere in Europe. It's not specific to France. And when we say that the situation should be better than Q4 in '26, we have some data points to sustain that assumption because we have started to negotiate with our customers, the annual commitments that they take vis-a-vis us, meaning that we know already more or less what will be the picture for '26.
Operator: The next question comes from the webcast from Alexandre Desprez with AlphaValue. Do you think that the seemingly huge decline in the French TV market is a sign of cannibalization by the streaming platforms launched by broadcasters in the past year?
Rodolphe Belmer: Well, there is no -- well, again, sorry to insist, but there is no huge decline in the French market. There was a drop, air pocket in Q4 of 2025, driven by the political unrest, which added to the secular decline of the linear market, which is more progressive. Second, do we see cannibalization? No. Why? Because the first 9 months of the year were much better, while our streaming platform, for instance, did very, very well, and we're able to more or less have only slightly declining linear revenues across the first 9 months of the year, while our digital platform grew by 40%, which means that it's not a direct consequence. There is an element which is very clear now, which is there is a migration of usage from linear to digital, which translates into declining watching time of television in the order of 10% year-on-year among the commercial targets, which creates an underpinning trend for the revenues in that segment of the market. You should assume that -- well, there is a declining trend in watching time, which means that what we produce and what we sell, which is the GRP in volume will decline by more or less 10%, but will be compensated slightly by price increase. In the past, we have been able to offset entirely the erosion in viewing time in GRP production by price increase. But now with the more direct competition from YouTube and the likes and with ROI, which we told you that in our presentation with ROI of TF1 being more or less similar to YouTube and the video online platforms, our price increase abilities or headroom is more limited and which means that our price increase will be more in the mid-single digit, low to mid-single-digit order of magnitude rather than two-digit level that we had before. And that's what will be resulting in the trend in the linear market. And hopefully, we'll offset that erosion factor with the strong growth that we have and the unique and the very specific and insist on that we have very distinctive results on that front with our very, very strong digital strategy, which is proving very, very effective and has been able to more or less absorb the erosion in linear. When you look at our figures, at our revenues in '25, if you exclude the perimeter effects, we are stable, which is, in my view, in the European landscape will be very distinctive.
Operator: Gentlemen, there are no more questions registered at this time. Back to you for any closing remarks, if any.
Rodolphe Belmer: Well, I think no closing remarks. Well, thank you for taking the time so late in the evening. What I'd like to say is that, well, we believe that our figures were very strong in 2025 with performance in linear in which we were able to outperform the market largely and our competitors and also with a very distinctive, unique performance in digital with a very solid growth for the second year in a row of around almost 40%, which enabled us to post revenues figures, which are almost stable at constant perimeter and FX. Going forward, we believe that the pressure -- the downward pressure in linear will continue relatively at a mid- to high single-digit level in 2026, but we'll continue because we have a very offensive, very aggressive, very innovative digital strategy. We'll continue to post very solid double-digit -- strong double-digit growth rate in digital in 2026, which will continue to produce solid set of figures for the total group in 2026, enabling us to continue to foster a strong dividend policy. That's all for us for today. Thank you for taking the time and see you for me in 6 months because next time, you'll have the chance to have Pierre-Alain for yourself.
Pierre-Alain Gerard: Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.